Operator: Good morning, ladies and gentlemen and welcome to the Suncor Third Quarter 2013, Conference Call and webcast. I would now like to turn the call over to Mr. Steve Douglas, Vice President, Investor Relations. Mr. Douglas, please go ahead.
Steve Douglas: Well thank you operator, and thank you to everyone, who is joining us for the third quarter Suncor Energy call. With me here in Calgary are Steve Williams, our President and Chief Executive Officer and Bart Demosky, our Chief Financial Officer. I would ask you note that today’s comments do contain forward-looking information. Actual results may differ materially from expected results, because of various factors and assumptions and these are described in our Q3 earnings release, as well as our current AIF and they are both available on SEDAR, EDGAR and of course our website. After our formal remarks, we’ll open the call to questions for members of the investment community and then to members of the media. However, I would note that since we haves a dedicated call coming up next hour on the Fort Hills project, we will be wrapping up this call by a quarter after the hour at the latest. So if there are calls we don’t get to we’ll get to them later in the day. With that I’ll hand over to Steve Williams.
Steve Williams: Okay thanks Steve and good morning and thank you for joining us. You’ll hear some very encouraging comment as we go through our results this quarter. We’ve taken a significant step forward in our drive to improve profitability, our focus on operational excellence is paying off and improved reliability across the business and our depot from MacKay at oil sands have produced a step change in production. At the same time, we’ve made real progress on growth initiatives while continuing to exercise capital discipline. So we have a lot to talk about and as I said earlier, I’m very encouraged by the result. So let me start with a review of the operations. First, the oil sands, we’ve achieved record quarterly production of nearly 400,000 barrels per day to slight some third-party pipeline activities in July and some plant maintenance in September. In August, we demonstrated the real potential of our operations as we produced a record 433,000 barrels per day at a cash operating cost of just $29 per barrel. So with the commissioning of the new hot bitumen facilities we began blending Firebag bitumen and shipping it straight to market. Its enabled us to significantly ramp up our mine production. We also saw improved reliability from our operating complex. So when you put all of that together, with favorable crude pricing it adds up to a record quarter at oil sands. In our E&P group, we closed the previously announced $1 billion sale of our conventional natural gas assets and booked $130 million gain. We’ve now sold over $4 billion worth of non-core assets since the merger. And that’s enabled us to build a rock solid balance sheet and focus our attention on a core portfolio of high return assets. Our offshore assets are an important part of that core portfolio in the third quarter, we saw reliable production from the North Sea and the East Coast and we took advantage of favorable Brent pricing to post strong financial results. In Libya political unrest prevented listings and shut-in production and more of the financial impact was not material, we continue to hope for a more stable environment for the Libyan people. Our focus there will continue to be on the safety of our employees and our longer term profitability of the operations. On the growth front, the Golden Eagle and Hebron projects are moving ahead on budget and schedule. We continue to anticipate first order at Golden Eagle around the end of next year and Hebron in 2017. These projects are an excellent fit with our profitable offshore production and are expected to provide strong returns for shareholders. Turning to our refining and marketing group, we achieved record reliability for the quarter; our four refineries run an average of 98% of capacity with a troop of almost 450,000 barrels per day during the quarter. And thanks to tight integration between our oil sands production and refining and marketing network, we were able to once again capture Brent pricing for more than 90% of our growing production. The two eminent developments that will actually increase that percentage by the end of the year. In Montreal we’re preparing to commission crude by rail offloading facilities and this will allow us to ship up to 40,000 barrels per day of Inland crudes to our Montreal Refinery. Looking south, we expect to begin line fill in the Keystone South pipeline to the U.S. Gulf Coast in the fourth quarter. This new pipeline will enable us to begin shipping 50,000 barrels per day of heavy crude to refineries in Texas. These two projects are very real concrete examples of the power of our integrated business model. And thanks to our deep midstream capability, we will continue to enjoy superior market access to our growing production. Speaking of growing production, we continue to move our growth plans forward in Q3. As I mentioned earlier, our two major new projects in E&P are on budget and schedule and are debulking efforts at oil sands have begun to unlock new production. And we said we are more debulk from that project in flight across oil sands operations that will see us continue to profitably increase growth production in 2014. Yesterday Suncor together with our partners voted unanimously to proceed with the Fort Hills mining project. And Fort Hills is the best undeveloped oil sand mining asset in the Athabasca region. The project will benefit from our debt of mining experience and our well established infrastructure in the region. We expect it will provide us with a long-term source of cash flow and contribute to strong returns for our shareholders for decades to come. So we’re excited to move the Fort Hills project forward. We will be convening a dedicated web conference immediately after this call in order to discuss the project in detail and I look forward to getting into some of those details. So to sum up our assets are operating reliably, we’ve encountered some minor setbacks here in October with several days of oil sands production lost as a result of third quarter natural gas supply outages in the Fort McMurray region. However, we’re still on track for a strong finish to the year and continued growth moving forward. In fact at oil sands with no major turnaround maintenance planned until 2016, we’re well positioned for a lengthy run of continued production growth. I’m certainly pleased with the progress that we are making, but we wont be resting on our laurels. Suncor will continue to relentlessly focus on achieving operational excellence, exercising capital discipline and profitably growing our business. So with that, I’m going to hand over to our Chief Financial Officer, Bart Demosky to go into a little more detail on the third quarter results.
Bart Demosky: Thank you Steve and good morning everyone. In the third quarter, our debottlenecking efforts at Oil Sands began to pay some big dividends. We were able to add lower cost barrels to the mix and as well we reached new highs for both production and earnings. Our integrated model delivered once again as the upstream captured strong pricing to make up for declining refinery cracking margins in the downstream. Now with that backdrop, operating earnings came in at $1.43 billion, including a record $951 million from Oil Sands. Cash flow from operations was $2.53 billion, which represents the ninth consecutive quarter in which we’ve exceeded $2.25 billion in cash flow. And we achieved these levels of earnings in cash flow despite having to rebuild inventory at Oil Sands after our second quarter major turnaround maintenance. This had a one-time impact of about $200 million on cash flows and $100 million on earnings. Return on capital employed is a key metric for the management team at Suncor, and in the third quarter, after adjusting for major projects in progress and the impacts of Voyageur, it rose to 13%. With strong reliability and record production at Oil Sands, we were able to take advantage of favorable crude prices and shrinking differentials to achieve a very healthy average price of over $98 per barrel. And in our offshore business, our average price was about $115 per barrel. Suncor’s rising prices and profitability are accompanied by increased royalties and taxes and we did see a corresponding increase in fiscal take, as we had forecasted in our guidance back in July. With growing production, enhanced logistic capability and an ongoing focus on cost management, our Oil Sands cash operating costs per barrel fell to $32.60 for the quarter. And I’m very pleased to say, we remain on track to hit our cash cost guidance range of $33.50 to $36.50 for the fourth quarter. Our In Situ operations contributed to the reduction in cash operating costs, as they reached a new low of just over $15 per barrel, which represents a decline of almost 16% from the same quarter last year. Now, as we look forward to 2014 with no plant major maintenance and production continuing to ramp up, we anticipate that cash costs will continue to decline. Turning to the balance sheet, the story remains very positive as well. Our net debt fell to$5.8 billion this quarter and our net debt to cash flow from operations declined to just over 0.61 to 1. We continue our relentless focus on capital discipline and I’m pleased to say that we’ve been able to reduce our 2013 projected capital spend a further $300 million to $6.7 billion. This is a number we’re managing very tightly and it will remain an area of focus moving forward. We believe we can continue to fund our base business and execute our growth program with an annual capital budget of $7 billion to $8 billion in 2014. But of course, we’ll also continue to evaluate new growth opportunities and set future budgets at appropriate levels to accommodate our plans as they evolve. We have also continued to return significant cash to shareholders via our share buyback program. In the third quarter, we repurchased and canceled over 12 million Suncor shares. And since we launched the buyback program just over two years ago, we have bought back and canceled over 6.5% of the company’s outstanding of shares at an average cost of less than $31.50 per share. We believe this represents terrific value for our shareholders. Even with our aggressive share buyback program and the paying down of $300 million in long-term debt in the quarter, our cash flow balance grew to over $5.3 billion. Thanks in part to the divestment of our non-core natural gas assets. While this is somewhat above our target, we are comfortable with a little excess liquidity on the balance sheet. It gives us valuable flexibility as we continue to grow the company. Last quarter, I closed by saying that we had put the necessary elements in place to outperform in the second half of the year. With a strong third quarter now on the books, we are well on our way to doing just that and we look forward to continuing to deliver on our commitments to shareholders in the fourth quarter and beyond. Thank you very much and I’ll now pass it back to Steve Douglas.
Steve Douglas: Well, thank you, Bart, and thank you, Steve. Along with our Q3 release yesterday, we also updated our 2013 guidance. All the details that are on our website, suncor.com, but I would ask you to note a couple of key changes. With the low value production in Libya shut in due to political unrest, we have adjusted our production forecast down accordingly. Now, our Oil Sands production guidance remained unchanged. As Steve referenced earlier in the call, October production at Oil Sands will be reduced due to third-party natural gas supply outages, and of course, we did have plant maintenance in September, which went into the first week of October as expected, but we do anticipate moving forward that strong production will prevail in November and December, and we expect to finish the year in the middle of our guidance production range. Finally, as Bart referenced earlier, we have reduced our forecasted capital spend for the year by $300 million. As I said, the full guidance is available on the website. A couple of other small points to note, the inventory impact, the LIFO/FIFO adjustment in the third quarter, had resulted in a gain of $104 million after-tax, and for the year-to-date, that’s $222 million after-tax gain. With our share price rising, stock based compensation impact was a charge of $155 million after-tax and $237 million charge year-to-date. And finally, the impact of FX was a positive $138 million in the quarter, but year-to-date, it’s a charge of $262 million. With that, I’m going to open up the lines to questions-and-answers. A reminder again of two things; we will ask the media to hold to the end of the question period, so we’ll start with the analysts. We ask you to keep those at a strategic level, the Controllers and the Investor Relations team will be available throughout the day to answer detailed questions and we will wrap up in about 20 minutes to 25 minutes. Operator?
Operator: Thank you. We will now take question from the telephone lines. (Operator Instructions) There will be a brief pause while participants register for questions. Thank you for your patience. The first question is from Greg Pardy from RBC Capital Markets. Please go ahead.
Greg Pardy – RBC Capital Markets: Yes, thanks, good morning. Just a couple of questions for me, maybe just on Libya, did you register inventory builds there? And then secondly, can you give us any color in terms of what your outlook is for just the possible ramp up, but I know it maybe hard to do, but we couldn’t find the inventory builds? And then secondly, Oil Sands did your Oil Sands royalty rates increased or at least the dollar amount obviously increased quite a bit. Has there been any change in your bitumen valuation methodology? Thanks very much.
Steve Williams: Okay. Let me just take those, Greg, because they’ll be relatively easy answers. Libyan has been a very small gain, it’s very difficult to forecast what’s happening in Libya, some of the facilities have been coming on, there have been some cause for optimism and then we’ve been disappointed. So we’re watching very closely, but very difficult to predict. What’s most important is that largely because of the low margin on that business it’s immaterial to Suncor’s overall performance. And on your second comment, I mean no there has been significant change on bitumen valuation.
Greg Pardy – RBC Capital Markets: Okay and last one from me is just in terms of the timing of your potential dividend increase, then that would coincide with your year-end results that would be potentially generated rate here or more above that?
Bart Demosky: Yes, Greg, that’s right. We’ve traditionally made the announcement in conjunction with our AGM, but we’re moving that to forward a quarter this year. So you’re right, it’s – it will be, I think we’re announcing the first week of February.
Greg Pardy – RBC Capital Markets: Okay. Perfect. Thanks very much.
Operator: Thank you. The next question is from Paul Cheng from Barclays. Please go ahead.
Paul Cheng – Barclays Capital: Hey, guys. Now, that we have Fort Hills shut-in, I suppose that you guys are used to paying more attention to Joslyn, what would be the criteria to determine whether you’re going to go ahead or that from a portfolio standpoint, will that be a concern having two mining project at the same time, do we stretch the industry overall cost structure more like that where we have plenty of the skill labor too much?
Steve Williams: I mean, you’ve almost sort of answered your own questions there, Paul, I mean, the considerations we will take into account when we look at Joslyn will be the work that’s going on in the region and of course one of the great benefits for Fort Hills is that we actually believe we have a window of opportunity there where there is still lots going on, but it’s a relatively quite period. So we’ve been able to get some very competitive contracts there. Of course, the second one is then the – our ability and the joint venture’s ability to manage multiple projects at the same time. So we will take that into account and that will push us to not wanting to overlap those projects, and then just the general comment that I made last time that we’re still working hard on Joslyn, we’re working together with Cóctel [ph] to make – to put the very best project we can together and our experience on Forth Hills is it takes time to get the best projects. So you wont see us rushing ahead with Joslyn.
Paul Cheng – Barclays Capital: Steve, last time you – I think we asked about the debottleneck of that projects all projects and you’re saying that is sill a little bit too early, not ready to give detail and maybe that way impute to NMS [ph] day, if we going into asset today, you would say the same answer or that you have more details that you can disclose on those debottleneck projects?
Steve Williams: Okay. I mean, first off, I would say we’ve been delighted with the progress we’ve made on existing debottleneck projects. We’ve got the first 30,000 or 40,000 barrels a day and we have talked to those. We do have several other debottleneck projects that we are working on right now. One is around inspection and there are some further logistics ones and of course, Firebag 4 is coming up towards its design capacity now as we speak. So its making good progress there. The nature of debottlenecks is that as you push to a limit you discover the next one. So we will talk more about those projects when we have our Investor Day in the early part of December.
Paul Cheng – Barclays Capital: On the MacKay River expansion that mentioned, is that going to be considered somewhat of Brownfield or you know as a Greenfield development. In other words that when you are looking at capital cost, is that going to be proved at all as there are $20,000, $25,000 because it’s a Brownfield or its going to be more now in the $40,000 because there is more resemble to the Greenfield.
Steve Williams: Yes, and we haven’t given numbers on the project yet, but you should consider more of a Brownfield than a Greenfield, because we already have significant assets in the area, we already have significant professional resource in the area. So we’re able to get from economies of scale. So consider it Brownfield.
Paul Cheng – Barclays Capital: Okay, thank you.
Operator: Thank you. The next question is from Mark Polak from Scotia Bank. Please go ahead.
Mark Polak – Scotia Capital Markets: Thank you, and good morning guys. First question I guess would be for Bart, this was the first quarter where we have seen any real cash taxes paid from the Oil Sand segment. I wonder if you could provide me a color on that is that – you started to exhaust tax pull there would you expect to see that reverse as spending on Fort Hills ramps up.
Bart Demosky: Hi, Mark. Yes, I think one of the benefits of continuing to grow our production and improve margins and bring our cost down is we’re becoming more profitable as a company and the corresponding elements of that is there is going to be higher fiscal take. So we now are a cash tax paying entity, even with the continued investment in the Oil Sands we wouldn’t see that reversing anytime in the near feature.
Mark Polak – Scotia Capital Markets: Okay thank you and then just a couple questions on Firebag, first in the near-term it looks like with the ramp up going on, that sort of leveled of in September using regulator data for July, August and kind of backing into September. I’m just curious if you could give any color on sort of what was going on there. I’m assuming that wasn’t the upgrade or two turnaround after the hot bitumen line is now in it and just when do you see getting up to 180,000 barrels a day there.
Steve Williams: Yes, let me pick that one, I mean just to say Firebag continues to exceed our expectations in terms of ramp up, I think we mention that we’ve already have days up in the 106 days. So its almost at its capability now, but the design is a 180 and we fully expect to get there. So we are getting very close to design levels now. So progress – no particular issues on the plant which is there are some plant maintenance in the third quarter, which help them level. The hot bitumen line has started up as we expected and that’s one of the areas that roll- start to come up, we do have some capability for getting more throughputs though there. So we can’t step up the operation of that and hot bitumen terminal facilities. So things are going well.
Mark Polak – Scotia Capital Markets: Okay, thank you last from me again on Firebag, just curious what your current thinking is in terms of stages 5 and 6 and when you might be going ahead of those, would that frankly not be until after Forth Hills come on?
Steve Williams: We are constantly looking at those mid-term plans we put. Well, we will talk more at the beginning of December about what that plan looks like. Our In Situ strategy is – has been adjusting to a different type of modular type strategy and Mike MacSween has been working hard on that. So stages five and six will not look like stages three and four. So we’re working on those projects and our challenge is not we have lots of cash, they’re attractive projects, so it’s a question of making sure we lay that capital ban in a very disciplined way. So we’ll work hard to get those design – designs right and then we’ll come forward and tell you what the next debottlenecking or expansion of Firebag will look like. it won’t be similar to what you’ve seen in the past. It will be different type of expansion. It’ll be much more keen – the first stages of it will be much more keen to the debottlenecking you’ve seen on the base plan, where we’re able to target very specific pieces of the plan. So much more of a Brownfield than Greenfield type expansion. We’ll take you through more of that in December.
Mark Polak – Scotia Capital Markets: Okay. Thank you very much.
Operator: Thank you. The next question is from Mike Dunn from FirstEnergy. Please go ahead.
Michael P. Dunn – FirstEnergy Capital Corp.: Thanks. Good morning, everyone. Just a follow-up on Greg’s question about Oil Sands royalties, were there any projects that reached payouts in Q3 or is this just – is this just sort of the regular calculation that just happened to be higher bitumen prices in the quarter causing high royalties?
Steve Williams: Yes, there was no changes, nothing that reached payout, Mike, it was simply higher profitability and therefore, higher royalty, so no changes at all.
Michael P. Dunn – FirstEnergy Capital Corp.: Okay, great. And then maybe, Bart, as the share price is now in the high 30s, is this going to be impacting how you’re – how aggressive you guys are going to be with share buybacks?
Bart Demosky: Yes, a good question, Mike, we continue to be very diligent on how we apply our cash to improving our operations growing and in returning cash to shareholders. I think as we’ve indicated in the past, we do have a view to valuation and we want to be value buyers, but we’re also growing the value of the company over time. So we’re very committed to our current program and programs in the future, so long as we can continue to execute on that, and this quarter, I think we bought just back just over $425 million of stock and we continue to be active in the market.
Michael P. Dunn – FirstEnergy Capital Corp.: Okay, great. Thanks, Bart. Thanks, everyone. that’s all from me.
Operator: Thank you. The next question is from Kyle Preston from National Bank Financial. Please go ahead.
Kyle Preston – National Bank Financial Brokers: Yes, thanks and good morning. Just first question here is just on your Upgrader utilization, it’s a pretty good quarter here in Q3. Just wondering if you can give us a sense on how you expect that to trend going forward? Obviously, that’s part of your debottlenecking initiatives there, but how should we be looking at Upgrader utilization over the next year here?
Steve Williams: Okay, yes. I mean, the improvements we’re seeing in the Upgrader reliability are as a consequence of the operational excellence focused and some of the, what we call, debottlenecking focus as well. So we’ve seen very good results, as we were expecting and one of the most significant elements of that was as part of the hot bitumen lining and increasing the settling time in the feed tanks, we’ve improved the feed quality to the Upgrader significantly. So we are starting to see significant shifts in Upgrader reliability and utilization. We’d expect that to continue and when we guide this year, we will actually have a Upgrader utilization assumption in there and it’s going to start pushing up towards 90%.
Kyle Preston – National Bank Financial Brokers: Okay. Thanks. Just one other question here on the just overall Oil Sands realized pricing, obviously as you start shipping some volumes down the Keystone sales line, do you have sense on what sort of magnitude improvement in realized pricing you’d expect to see there?
Steve Douglas: Hey, Kyle. It’s Steve Douglas here. Yes, we are going to begin to ship on the Keystone sales line, and really what you capture is very much dependent on prevailing differentials at any given point in time. Today, that differential is about $30. So we can get it down to the Gulf for less than $10. Obviously, you’re capturing a big up-tick, but we wouldn’t want to promise that for the future. I think the key thing is we’ve got ample access to get our production to global prices.
Kyle Preston – National Bank Financial Brokers: Is there a room to increase that beyond 50,000 barrels?
Steve Douglas: Yes, there is. We see that going probably to 75,000. Actually by next year, you’ll see that we’ll have 75,000 by the end of the year down to the Gulf, which is certainly ample for current and immediate future production.
Kyle Preston – National Bank Financial Brokers: Okay, great. That’s all from me. Thanks.
Operator: Thank you. The next question is from Mohit Bhardwaj from Citigroup. Please go ahead.
Mohit Bhardwaj – Citigroup Global Markets Inc.: Yes, hi. Congratulations on your results. I have a question on sustaining CapEx, how should we think about it as you guys get production, and going forward, would it be in like $4 billion range? What’s the number that we should think about?
Bart Demosky: Yes, good morning, Mohit, and thanks for the call. As Steve was just talking about the benefits of our operational excellence and the improvement in reliability of the assets, one of the side benefits of that is that we see our sustaining CapEx costs starting to trend down now. I believe we had estimated about $4 billion next year, but next year that number will be lower. We’ll come out with budget numbers in November at some point here and you’ll get more detail then.
Mohit Bhardwaj – Citigroup Global Markets Inc.: Yes, thank you.
Bart Demosky: And sorry, the other, sorry the other thing to keep in mind is that we have no major turnaround maintenance at Oils Sands now planned until 2016. So that will help bring down the costs as well.
Mohit Bhardwaj – Citigroup Global Markets Inc.: Thanks for the color on that. And one more question on share buybacks, you’ve already sort of outlined your strategy and you said that you are going to be – economics are going to decide that. Just wanted to understand what’s the current authorization and is there like a total number that you guys are thinking about that maybe we should do say $1 billion or $2 billion every year going forward or how are you actually thinking about that? Just a little more color on that will be great.
Bart Demosky: Yes, great question. So we – the current approved program is for $2 billion. We’re working our way through that. We spent about just over $425 million this quarter. We continue to see very good value in the share prices right now and would expect to continue to spend under the authorization of that program going forward. We’ll, of course, review that with the Board, if we exhaust that program and take another decision at that point.
Mohit Bhardwaj – Citigroup Global Markets Inc.: Thank you for your answers.
Steve Williams: Thank you
Operator: Thank you. (Operator Instructions) The next question is from Menno Hulshof from TD Securities. Please go ahead.
Menno Hulshof – TD Securities: Good morning. I just have one quick one. I think, what are your current thoughts on the line 9 reversal given the hearing that took placed earlier this month?
Steve Williams: Hey. We are still in procedure at the momentum. So I wouldn’t want to say too much. I think, the process so far has been very far and balanced. I was pleased to hear the Ontario premier come this week and say that Ontario we’re not anticipating taking a review. So I think its moving as well we could be expecting. So I’m still optimistic that we will get approval for that line sometime early next year and we’ll move into operation toward the end of the next year or beginning of the following year, but every sign at the moment is reasonably encouraging.
Menno Hulshof – TD Securities: Okay. Thanks Steve.
Operator: Thank you. The next question is from David McColl from Morningstar. Pleas go ahead.
David C. McColl – Morningstar Research: Yes. Good morning everyone. Thanks for taking the call and it sounds like the tough questions are waiting for the Fort Hills call. So two kind of easy ones here for you on rail basically. I’m wondering did you take advantage of any material real volumes during the third quarter and with the widening of differentials do you envision that you’ll maybe put some real volumes in the fourth quarter. And third question, sorry I lied there. I might have missed the comment on Montreal, did you put out an estimate for what quarter we could start seeing those 40,000 barrel per day of Inland crude moving into that refinery? Thank you.
Steve Williams: I mean just in general with that where I’ll make specifics comments David. We are a – rail has a place as part of our mix in logistics. We are a significant user and have been for a number of years of rail facility particularly in mid-continent here. There were no significant changes in our position. We have one of the – our logistics are very advantaged relative to competition. So we have good market access and look at the economics and the options available to us. We would anticipate the first crude movements into Montreal with the newly installed facility to be later this year.
David C. McColl – Morningstar Research: Great. Thank you so much.
Operator: Thank you. There are no further questions registered at this time. I’d like to turn the meeting back over to Mr. Douglas.
Steve Douglas: Well, thank you very much Jessica and thanks very much to everyone on the call. We will be convening a Fort Hills call in about 20 minutes or 25 minutes. I look forward to talking to about the projects at that time, if you have further detailed questions. The IR team and controllers will be available throughout the day. Thank you operator and we’ll sign off.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.